Operator: Good day and Thank you for standing by. Welcome to the Gatos Silver Q1, 2021 Earnings Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Stephen Orr. Please go ahead.
Stephen Orr: Thank you. Good morning, and I'd like to welcome everyone to Gatos Silver's Q1 2021 Earnings Call. Before I begin, I want to caution our attendees that I'll be making forward looking statements. And these statements aren't guarantees of future performance. They involve risks, uncertainties and assumptions regarding future events that are quite difficult to predict. So with that turning to slide number 3 and for those who are watching this on the screen, you'll be able to navigate the slides yourself. If you just put your mouse, cursor over the top of the slide, you'll see the navigation arrows appear. Since Gatos Silver's IPO in late 2020, we've been consistently executing initiatives to achieve expected operating performance at Los Gatos and to increase the project's financial flexibility and resume meaningful exploration within and around Los Gatos District. And during Q1, we used about $113 million of proceeds from our IPO to increase our ownership in the entire Los Gatos District to 70% by purchasing another 18.5% from our JV partner Dowa, Metals and Mining. And we can't currently retired the project's working capital facility thereby delivering on two of the key value adding initiatives to increase shareholder exposure to this new Silver and Zinc rich district and reduce the project's debt. And as promised, we have also initiated all the near-term exploration programs for which another portion of the IPO proceeds are directed. There are currently five drills actively drilling to expand the resources at the Cerro Los Gatos deposit and the adjacent Esther Resource and conduct initial exploration at Gatos Silver's 100% owned Santa Valeria project near to but outside the Los Gatos joint venture area of interest. This is the first time that we've had this many drills active since 2012. And we couldn't be more excited. Phil Pyle, our Vice President of exploration and chief geologist we'll be talking about these programs in greater detail later in the presentation. 2021 will be a year of optimization for Gatos Silver, where we; One, focus on sustaining budgeted development in ore production rates in the mine and concentrate production from the processing plant. And secondly, adding additional infrastructure to improve the project's operating efficiency. Turning to slide number 4. All of our achievements at Los Gatos would not have been possible without the support of the regional government in Mexico, regulatory agencies and foremost the communities who are impacted by the project. We recognize that it's essential to conduct our operation in a manner that protects our employees safety, doesn't harm the environment and improves the lives of residents in the local communities. We believe we have an obligation to ensure that those impacted by Los Gatos benefit, not only to employment opportunities, but also education assistance, medical care support, and provision of sustainable, clean water. As a priority, we hire our employees locally, 60% are from Chihuahua State. And 24% of those are from -- other city. Despite the resource industry's reputation of male employee dominance, we've managed to achieve a workforce where 20% are women. And they're working in all phases of the project from management to mind production, to process plant operators, engineering and operations services. In terms of community support, we built the first, full time medical clinic in de R. L. at San Jose Del Sitio. And it's staffed by doctors from Mexico social services. We also have our own clinic at the Cerro Los Gatos project with our own doctors. And our doctors work collaboratively with the doctors of San Jose Del Sitio clinic on all sorts of local community, health improvement initiatives, with the focus most recently on COVID-19 prevention. And this is involved personal protection seminars, provision of molecular testing, and now the initiation of vaccinations. Our devotion to improving the lives of those impacted, by our project has been recognized by the government and local communities. And we have never had any opposition to the project. Turning to slide number five, these are the highlights that I covered earlier in my comments. So moving to slide number six, Cerro Los Gatos achieved its 2500 ton per day production target for all operating days during Q1. However, you can see that we lost a few operating days, due to grid power loss during the quarter with the most significant event being the extraordinary winter storm in Texas that interrupted delivery of natural gas, upon which Northern Mexico depends, to provide power to its electrical grid. The other events were high-wind events that caused the arcane between power lines coming into the project. The lines in those areas that are most vulnerable to high-winds have now been further stabilized to prevent a future occurrence. The project development achieved an important milestone during Q1. We have now accessed higher grade portions of the deposit, in the Northwest and central zones, which resulted in, meaningfully improved performance during April of the second quarter. And I'll provide further detail on that, later in the presentation. The processing plant, finished commissioning, its own stream at analyzer and this provides constant data on concentrated metal recovery that can adjust the processing plant operating parameters such as, reagent addition to maximize metals recovery. I would now like to have Adam Dubas, our Chief Administrative Officer, who covered the next two slides.
Adam Dubas: Thank you, Steve. I'll continue here on slide seven of the presentation. In Q1 we had a solid start the beginning of this year and with Q1 production, on the payable side, we had 1.3 million ounces of silver, 9,000 ounces of gold, 7.2 million pounds of lead, and 7.4 million pounds of zinc. And the all sustaining cost basis -- by-product basis, we had approximately $19.76 per silver ounce. It's important to note here too, this includes an element we've estimated about $250 per silver ounces, associated with COVID-19 costs, in the last ounce produced to the power outages that Steve discovered. On a co-product basis, our cost was $21.29 on a silver equivalent ounce basis for all-in sustaining costs. On a cash cost side, our by-product basis at $10.44 per silver, and our co-product basis $15.21 per silver equivalent ounces. Both the sustaining cost and the cash cost by-product basis were calculated on $24.15 for silver, 1.16 for lead, sorry, $1.16 for zinc, $0.93 cents from lead, and $18.12 per ounce for gold. Our operating costs this quarter were in line with our expectations given the temporary suspensions of the power outage and the near-term or the out flashing events. We've also were able to successfully sustain the 2,500 tonnes per day for all the operating days in Q1 with our processing plant. Moving to slide 8. As we've previously communicated in our Investor Day and in our Q4 earnings call. 2021 was a year of optimization and we're happy to report that it is well-underway. Numerous strategic capital initiatives were commenced during this period, including the paste plant engineering, which is expected -- the construction of that paste plant is expected to be completed in Q2 of 2022. The paste plant will have many efficiencies from a mine operation. Most notably it will help with the efficiency of the backfill operation itself, but it will also free up the haulage trucks to be more efficient and streamlined to be only four haulage trucks, they won't have to move -- press rockfill underground on the return leg or crushed. We also commissioned the second mine refrigeration unit construction, which is expected completion in Q3 of this year. The third tailings lift also begun and it's expected completion is early Q1 2022. We've also been working on underground pumping stations and both of those are currently underway. The pumping stations will allow more efficiency in our pumping operations by extracting clean water underground and pumping it immediate to surface, this will help keep the areas for development be clear of water into a lot more efficiency in such development. Once that water is pumped to the surface, that's only treatment that's required, it's just cooler given the temperature of the water prior to being released into this stream. Both of those are expected to completion -- are to be completed later this year one in Q3 and one in Q4 of this year. With respect to our production gas 2021, which we previously communicated, that remains unchanged at this time. Just to recap, that guidance is 7.5 million to 7.9 million ounces in recovering concentrated silver, 4,500 to 5000 ounces of gold, 40,00 million to 42 million pounds of lead and 49 million to 52 million pounds of zinc. Again, and also our ASIC guidance also remains unchanged at a $17 to $17.50 per silver ounces and that is on a by-product basis. Now with that, I'd like to turn it over to our CFO to cover the next few slides on the financial results of the quarter.
Roger Johnson: Thank you, Adam. I'm looking at slide 10, which is the Gatos Silver financial results. We almost broke even for the quarter, we had a net loss of just 1.6 million ounces, which represents $0.03 cents per share. Our exploration and general administrative expenses for the quarter were essentially as we had expected. G&A cost for 2021 are significantly higher than 2020 as you can see. That's due to the fact that we are we now dealing with public company governance and the reporting requirements there under. As a reminder, we became a public company near the end of October 2020. Accordingly, the Q1 2021 costs reflect these increased responsibilities. Earlier, Steve talked about our significant financial events for the quarter. Specifically, on March 10, we completed the re-acquisition of 18.5% ownership in the LGJV from Dowa. And we simultaneously repaid -- made a capital contribution to repaying the advance Gatos Joint Venture debt facility. Though of course, they will also contributed $80 million to allow that fork extinguishment of the facility. These transactions returned our ownership to 70% of joint venture. For the first quarter, our equity income for the LGJV was $2.7 million. And that represents our 0.5% ownership through March 10 and our 70% ownership from March 11 to March 31. I'll talk about the LGJV results in a moment. But this is the third consecutive profitable quarter for the LGJV. We also pay Dowa from previous financings arrangement fees and in the first quarter of 2021 the arrangement fees were significantly lower as the working capital facility was extinguished in March. Looking to the next slide, you'll see the joint venture performance on this slide and this is slide 11 -- sorry, slide 10. February 2021, freezing temperatures that we've already mentioned, restricted the natural gas availability in Texas, and therefore, in northern Mexico. The lack of natural gas as a fuel source to generate the electricity caused our Mexican power plants to suspend their operations or too little power they could provided a very high cost. The milling operations were suspended for several days because of this. And the mining operations were effectively stopped for at least eight days with dewatering taking even longer to recover from. Unfortunately, these -- the mine development delays caused the plant high-grade mining from March to go to April. With this backdrop, looking at Q1 2021, the metal prices were favorable. They contributed to robust sales despite the power out in suspension. As I previously mentioned, the both the throughput and the operators were impacted by this power outage. Our operating costs were essentially in line with the revenue shortfall and only slightly above the first quarter of 2020. Our other expenses in Q1 2021 were $2.1 million of interest and $1.6 million in foreign exchange losses on peso denominated net assets, primarily the value added taxes receivable that we have. On a positive note, the high grade material delayed from March, the processing began to be mined in April, resulting in April cash collections be the best month ever for the mine. With that, I will turn it over to Phil Pyle, our Vice President of Exploration and our Chief Geologist. Phil?
Phil Pyle: Thank you, Roger. Just wanted to give everyone a brief update on our definitional drilling plans and exploration plans for the Los Gatos district in our Santa Valeria project. As you can see on this slide, we have a very large land position for mineral rights through the Mexican government's covering 103,000 hectares of contiguous land. Within that block, we have a total of 11 zones of interest with mineralization that has already been identified by drilling in three other zones, which have NI 43-101 mineral resources. Most important, which is where our mine is Cerro Los Gatos. We also have two other zones with mineral resources at Esther and Amapola. At present, we have three drills operating at the Cerro Los Gatos deposit. And the principal focus of these drills is to convert inferred resources into measured and indicated resources along both the northwestern and southeastern flanks of the deposits outside of the areas where the reserve is located. At present, we've completed 23 holes on the southeastern side, we demonstrated continuous mineralization over a strike length of an additional 425 meters from the reserve block. We've also identified a new vein which has higher copper and a very strong base metals and silver, which is deeper into the footwall of a volcanic package. We don't yet know the extent of this new vein, but we are targeting in an additional future drilling. On the northwestern side of the deposit we've completed a total of eight holes, principally focused on adding definition to the short term mine plan over the next two years. Those holes are wrapping up and we'll be moving further to the northwest into the areas of inferred resources as we continue on our program. And also today, we are beginning our very first drilling at the Esther deposits, since we completed our drilling program in the early discovery phase in 2011. This program is dedicated towards converting measured -- converting inferred resources into measured and indicated resources and focusing on the development and finding of new resources along the Esther vein trend, which is very similar in strike length to the Cerro Los Gatos vein trends. We're excited about this program and our objective is to try to move enough resources into the measured and indicated category to perform a feasibility study as quickly as we can. We also have another project outside of the Los Gatos joint venture, which is 100% owned by Gatos Silver. It's called Santa Valeria and it's only about 4 kilometres to the east of the Los Gatos joint venture vein one [ph]. Within that we recognize a geologic setting that is very similar to Cerro Los Gatos. There are principle structural trends on the other side of the sedimentary basin, where the sedimentary rocks are in contact with volcanic rocks. Also within this area, we have recognized on the surface and then in vein systems that show values of silver. We've completed our first three holes in Santa Valeria. And we anticipate approximately another 15 holes there over the next couple of months. We're very excited about our results so far. We produced one press release on April 15 and we plan on continuing to put out releases probably on a monthly basis to keep the market updated on the progress of all of our drilling activities. And with that, I'll turn it back over to Steve Orr to wrap up the project timelines.
Stephen Orr: Thank you, Phil. Turning to slide number 12. We've mentioned a couple of times in this presentation about the improved performance that we're seeing now in Q2. And this just gives you some stats from our April performance. In April, we mined the highest monthly tonnage since commissioning Cerro Los Gatos. In fact, the mine recovered 7,000 tonnes of its 17,000 tonnage shortfall from the February power loss. We also set a record for mined grade at 331 grams per tonne and the mill recovered 3,000 tonnes of its 23,000 tonne shortfall from Q1. Silver recovery also set a record at 87.3% which contributed to the highest silver production since commissioning the project, and we produce 698,623 ounces. Cerro Los Gatos also set a record for zinc and lead production. This performance combined with favorable silver and zinc prices resulted in a record $21.2 million of revenue in April. We're confident that we can achieve our market guidance for 2021. And that concludes our presentation. I would like to ask the host now to open up lines for any questions.
Operator: [Operator Instruction] The first question comes from the line of Alex Hunchak with CIBC World Markets.
Alex Hunchak: Hi, everyone. Thanks for taking my questions. And congrats on a pretty exciting sounding April as well. I wanted to ask on CapEx first. So I saw about $12 million in sustaining CapEx in the quarter. Can you guys confirm how much is left in total CapEx for the rest of the year? And sort of how that spend will play out over the next three quarters? Is it pretty even over the next three quarters or is it staggered a bit?
Stephen Orr: Roger, would you like to take that question?
Adam Dubas: I'm happy to feel that question, Steve.
Stephen Orr: Okay. Yeah, no problem.
Adam Dubas: On the $12 million -- so the guidance with sustaining capital too remains unchanged, that was a $65 million to $75 million range with previous communications we've made. The $12 million is in line with what we were expecting to spend during that first quarter as we ramp up through the rest of the year and getting those multiple key sustaining initiatives going throughout the year. So it would not be a linear relationship. We do expect that some of the sustaining capital would increase, therefore meeting that, I guess, remainder $53 million to $73 million in that range, sorry, $53 million to $63 million range of additional sustaining capital to be completed in the remainder of the year.
Alex Hunchak: Okay. And that'll be sort of evenly over the next three?
Adam Dubas: From the -- yeah from the recent medium term forecasts we've done that would be on a fairly consistent basis quarter-to-quarter and the following quarter. Yeah.
Alex Hunchak: Okay.
Roger Johnson: I do need to apologies, Alex, I was speaking to you on mute. And then -- so Adam, thanks for covering for me.
Adam Dubas: No worries. No worries.
Alex Hunchak: Okay. That's great. So then just given the current metals prices, and the cost guidance, are you guys still comfortable that's all of that CapEx remaining can be funded at the JV level with cash flow, or do you see, potentially you're going to have to put a little extra money from your end?
Roger Johnson: This is this is Roger. Absolutely, with prices, particularly where they are currently, we're above $27 per ounce silver, zinc is in the $1.30 per pound, and lead for the first time in a long time is above $1, we will be able to -- we would be able to fund it at the prices we had previously planned, which Adam pretty much quoted when he mentioned what our [Indiscernible] numbers were based upon. And so we were very confident that we will not be having to provide any further capital contributions to fund the spending.
Alex Hunchak: Okay. Now that's great to hear. Thank you for that. And then, I just wanted to ask as well, you talked about the additional pumping stations. So, can you just kind of give me a little more color on how the water situation has been underground? And has it impacted production at all yet, or is it just something you want to get ahead of where or you know, how are you dealing with the water as it is right now?
Stephen Orr: So Alex, the only time water impacts our production is when we lose power, and we lose our ability to maintain the pumps. The pumping is essential, though, for us to be able to maintain our efficiencies at the mine. So one of the things we learned from the grid power loss is that we still have a backup power generation capabilities from diesel generators that we used to power the project during its construction phase. We are now adding additional diesel generation power capacity, so that even in the event of a power loss, we will be able to maintain power to all the essential items. And that includes all our pumping as well.
Alex Hunchak: Okay, Okay, but so just to confirm that, you know, water hasn't been a bigger issue than expected, you're managing it fine.
Stephen Orr: No. Yeah, we're managing it very well now. It's – but we need to keep the pumps active.
Alex Hunchak: Okay. Okay. That's good. And maybe just one more quickly then on the expiration updates. When do you think we might see sort of the first results for Esther and even Santa Valeria, in terms of timing this year?
Stephen Orr: Phil, do you want to take that?
Phil Pyle: Sorry about that. I was on mute. With one rig operating an Esther and one rig operating in Santa Valeria, we will complete each all approximately in two weeks interim intervals. And it normally takes about four weeks to get essays from [indiscernible] few days. So it will from the beginning to receipt of results in about six weeks. We won't want to release the results from Ester or Santa Valeria. So we have enough data to make a meaningful interpretation of what we've been finding. So my guess is that because we've been drilling in Santa Valeria a little bit longer, we'll be able to release results on Santa Valeria within the next month or so. And then Esther will probably be more like six weeks to two months out before we give a first release.
Alex Hunchak: Okay, that's great. All right, thanks for all the info guys. And good luck in Q2.
Stephen Orr: Thanks, Alex.
Operator: [Operator Instructions] The next question comes from the line of Ryan Thompson with BMO.
Ryan Thompson: Hey, Steve and Phil. Thanks for the updates. I was actually going to ask the same question on CapEx. So Thanks for clarifying that. Maybe just on grade, you’ve talked about grade picking up in Q2 there 331 grams per tonne, I think you said. Can you just give us a little bit of color on Q1, where grades were, where they sort of in line with budget and how we should be thinking about, I guess, the trend through the next couple of quarters here and even into 2022, if you could give any granularity on that that would be great.
Stephen Orr: Yes. Well, you'll see when you go through the quarter the grades were lower in Q1. And the reason that they were lower in Q1 is because we ended up mining in areas that were not originally budgeted for mining. And it was particularly because our development, the constraints that we had once we had the power loss, it put our development behind. And so we were not able to access to higher grade areas, when we thought we would be able to access them. So we continued mining in other areas of the deposit, therefore lower grade. So now we're in those areas. And this is the good news, Ryan, [indiscernible]. Now that we are into those higher grade areas, the grades are pretty much exactly what the resource model said they would be. So as I mentioned, we were for the month of April, we were 331 grams per tonne. That's exactly where we expected that we would be. And I have to say the beginning of May is as good if not better than April was.
Ryan Thompson: Perfect. Thanks. Thanks for that. Good to hear that. Things are reconciling. And can you say the same, sort of, lower grade areas that that you were mining in Q1 or they sort of reconciling well to the model? And if you can any, sort of, forward-looking guidance, maybe even into Q3 and Q4, should we expect sort of an upward trend or sort of the number that you mentioned in April, a good number to be thinking about?
Stephen Orr: The number in April, it's a good number to think about. And then to your earlier question, we've actually -- we actually did a reconciliation to the resource model for all of the mining we did in 2020. And interestingly enough the -- we actually ended up mining more silver than the resource modestly more silver than the resource model indicated. The difference was where we ended up mining because we didn't have access that we hadn't yet achieved development access into areas that we anticipated we would have. So we ended up going into areas that were lower grade, and the resource model showed that as lower grade as well. But the takeaway for us was that the resource is turning after -- our calculation is turning out to be very reliable, which is terrific news. And then secondly, we have to stick to plan.
Ryan Thompson: Got it. Got it. No, that's very helpful. And that's good to hear that is reconciling well. Maybe just a follow-up question, can you just give us some color? I know, on the last update call you mentioned that COVID was still pretty problematic in Northern Mexico and you had to deal with it. Can you just give us an update on how things are on that front and mitigation efforts and so on and cost as well? I guess.
Stephen Orr: Yeah. So the COVID detection rate at least relative to our employees seems to have peaked in December. And in the late November, early December timeframe, we were getting 40 to 50 employees testing positive, every shift rotation. As people that have been offered their 10 days leave came back. But it's now it's – in January drop precipitously and now its seems to be stabilized, it bounces around between maybe 8 to 12 each rotation, which is very manageable for us, when it was 40 to 50 that was difficult, because those people were replacing other employees. And if not with, 9 to 12 people, we can go back to the employee that was due to go off on their break, and ask them, if they'd like to stay for another rotation. And normally, they do when we had so many in November and December, we couldn't cover all of it. So we're really quite encouraged at what we're saying. But we haven't reduced any of our protocols. And we're still fortunate that we have not had an outbreak in low status. 
Ryan Thompson: All right.
Stephen Orr: Rayan, if I – can I add one note - -sorry, I said, one note – about cost on COVID too, and I had earlier given that breakout of the talk for silver ounce on the byproduct ASIC basic basis. It's a steep, where we did cost, spike a bit too long with the infection rates. And to January, February and then into March we saw it precipitously declining to the amount of costs we are incurring for the COVID related elements of protocols in isolation. The cost for the whole quarter were approximately 1.1 million with all of our COVID efforts that were identified in that number that I earlier showed on a ASIC basis.
Ryan Thompson: Got it. Okay. Perfect. I think that was all I had thanks for the update and looking forward to Q2 results.
Stephen Orr: Thanks.
Operator: [Operator Instructions] And there are no further questions at this time, I will turn it back over to the management.
Stephen Orr: Well, if there are no further questions, Thank you very much for attending our Q1 2021 Earnings Call. Well, this now concludes the call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.